Henry Engelhardt: Good morning, everybody. Welcome. I'm Henry Engelhardt, Chief Executive Admiral Group. Welcome to Admiral Group's 2014 annual results announcement. Hi, Louise, we know you're listening. We have quite a lot to discuss in our 2014 results this morning. Let me start by explaining why I've called this the year of the Baked Alaska. It's because it was a bit of hot and bit of cold at the same time. Some of our results are really hot, some are a bit cold; all to be discussed. Let me also review the Group's strategy to remind you of our objectives. Our strategy is to invest in businesses outside UK car insurance, while continuing the profitable growth trajectory of the core business. We are focused on providing long-term value for investors, and that means making calculated investments today for future benefit. We also believe that, after we ensure our businesses are properly capitalized, we distribute excess cash to shareholders. Geraint Jones, the gentleman standing to my right and our CFO will go into details on this very shortly. After Geraint and I talked about the headlines, Stuart Morgan, our UK Operations Manager, and David Stevens, our COO and Head of our UK insurance business will take and in depth look at the trends in the UK market and our results with you. They will be followed by Milena Mondini, the CEO of ConTe, our Italian insurance business and Elena Betes, the CEO of Rastreator, our Spanish price comparison business and together they will put some meat on the bones for all our non-UK investments. So, here are the headlines. Group profit before tax was down 4% from 2013, this is the first time in the century we had a reduced profit year-on-year but to put this into perspective this was a second biggest profit in our history. The return on equity was still very high an enviable 52%, turnover largely influenced by cyclicality in the UK markets was down 3% to just under 2 billion.
Geraint Jones: Thanks, Henry. Good morning everyone. Moving down the list despite the 3% reduction in turnover, the group did breakthrough the 4 million customer mark during 2014. The year-on-year increase of around 350,000 customers or about 10%, three quarters of that growth came from the UK [military] and household operations with the remainder from outside of the UK. Earnings per share was down 2% slightly smaller reduction in free tax profit mainly down to the lower UK tax rate. And the dividends, we're proposing the final dividend of 49p per share, which brings the total dividend for 2014 to 98.4p, 1% down on 2013. Payout ratio for the full year is 95% which is as same as 2013 and in pounds millions terms, the 2014 full payout is in line with 2013. More about the dividend later.
Henry Engelhardt: Well, it was a hot and cold year, Geraint, I suggest that we slip this slide and I'll take hot. Customer numbers were up quite a lot and we now have more than 4 million policy holders. ConTe made a modest profit in its six full years of operations; Milena will proudly talk more about this in a minute but please note that this profit was due to back year claims releases. However, ConTe's combined ratio is actually very close to a written profit. We made record profits in Rastreator and LeLynx, our price comparison businesses in Spain and France respectively. We believe that the internet is an irresistible force that the 23 year olds in Austin, Salamanca, Bologna and Toulouse are using the Internet for virtually everything they're doing and eventually they're going to use it to buy their car insurance. Same at the operative word there is eventually and we're trying to accelerate this change in distribution through the creation of price comparison businesses. The proposition price comparison makes to consumers is compelling, you spend the few minutes and you get multiple quotes, many quotes as oppose to spending those few minutes and getting a single quote and everywhere we've gone, this proposition to consumers has caught fancy and taken off and Elena will talk more about these -- our businesses in their own right not just generators of quotes for our insurance businesses, she will talk more about this in just few minutes.
Geraint Jones: Okay, so the cold or the less hot, what was less hot in 2014? Well the reduction in earnings on the previous slide for one, but a couple of other points. Firstly, the UK market, naturally despite the good progress being made elsewhere in the group that you'll hear about today. Our core business will continue to dominate the results in a shorter to medium term, because of our size and a prospect of less rampant growth in price comparison as a source of business. We're less able to grow materially across the cycle than historically. Consequently, our UK result is likely to be more cyclically influenced than it was before. Hopefully that's not new news David and Stewart will talk you in some detail about the UK market shortly. Staying in UK also hopefully not especially surprising, Confused.com continues to fight a tough battle in the UK comparison market. Although there was very limited growth in car insurance comparison volumes in 2014 you know that the tussle for customers remains a fierce one. And as you'll hear about later for a number of reasons Confused’s results in 2014 was around £6 million lower than the previous year. And finally compare.com, which the more eagle eyed amongst you might have spotted has been subtly renamed from comparenow.com more about that later. As arguably cold in the sense that our share of 2014 result was a loss of £15 million, which of course is a key reason 2014's group profit, was lower than 30. But the loss is not unexpected and of course investing in market and to attract the customers to the website is a fundamental part of growing a comparison operation. Importantly, it shows that we're prepared to invest in the future of the group even if it means impacting the current year reported profits.
Henry Engelhardt: They say that the first 22 years are actually the hardest, although turnover decline for the second consecutive year due to the cyclicality of the UK markets are thread lined which still show a remarkable growth story, so let's look at a thread line. This slide says what it does on the tin. A few years ago turnover outside UK was 5% to the total now with 12%, we are as you could see gently reducing our reliance on the core business overtime. This slide shows an exciting story of progress of the pioneering of distribution change that I referred to earlier outside UK. Not only is turnover up 25% of the total, but quotes from outside UK are knocking on the door 40% of the total and this is only the first year of operation for our U.S. PC business compare.com.
Geraint Jones: Let's take a look at profit. This slide shows where the profit came from, the contribution too and deductions from the figure made by each of our business segments. The dark blue as usual UK car insurance results, it was a 111% of the total, again clearly the dominance component, that was just under £400 million, which was slightly up on 2013 and it was as of the half year boosted by material reserve releases on the back of some very positive back year flings experience, more on that shortly. The light blue portion at the top that’s the total result from our price comparison operations was low in this year 1% of the total from 6% last year and that reflects the investment we made in compare.com due 2014 that we’ve already mentioned, but also the tougher year for Confused in the UK, where profit was down to £16 million. Below the line in the green that’s the loss from international insurance, the highlight here as we mentioned was the first small was still very pleasing profit reported by ConTe in Italy and the overall loss improved from £22 million to £20 million. Finally the yellow plus everything else of which the most material part is the charge for the group’s share schemes which hopefully everyone is familiar with, it also now includes the net financing cost of the £200 million bond that we issued last year and that was about £2 million in the second half. Few slides on the UK results; firstly, look at the top-line customer numbers, on the left here you see the movements in turnover and total premiums, on the right the number of insured vehicles. There is nothing particularly new to report here compared to half year, the decrease in turnover is a result of fallen total premiums and that in turn is a feature of lower average premiums caused by rate cuts mainly throughout 2013 and also further shifts towards renewals from new business. You will note that the rate of reduction is lower than it was at the half year and that’s mainly down to rate increases implemented from Q2 through Q4, 2014. On the right you see vehicle count up 4% in 2014 to about 3.2 million vehicles on the back of strong retention. Next slide, key UK motor ratios, expenses first. As you can see the expense ratio which we show here on written basis increased from 15% to 16%, as average premiums fell. It compares well I would say to the market figure for ’13 and we expected to continue to do so when the market figures of ’14 is available. The reported loss ratio for Admiral is around 69% which was broadly stable. As of the half year, the key points higher reserve release offsetting the higher current year ratio. Add those two together you get to a combine of 85% for Admiral, slightly up in 2013 due to that higher expense ratio and again a favorable comparison to the most recent market data we have, this is the market reported combined ratio for 2013. And finally on the slide other revenue, on a per vehicle basis you can see was stable with £67 nothing to report today on that. Reserve releases, let’s take a look at this in a bit more detail, the bonds ratio, the level of releases is a percentage of earned premium. In the past five financial years on the right and some five or six year averages on the left. 2014 you see at the highest level in some years of 18%, that’s higher than we normally expect to see in the year as a result of some very positive developments on a number of our back years, which we’ll see in more detail on a later slide. And important point to note here is that there was no reduction in the level of conservatism in our booked reserves and as a result of that consistently cautious approach to reserving, as claims developers we expect and we should expect to see continuing material contributions to the result from reserve releases. Back over to Henry for more about things outside the UK.
Henry Engelhardt: Thank you, Geraint. As you can see, we have some growth but not ramping growth in our non-UK car insurance businesses, we are very sensitive to making sure we grow efficiently and not just for growth sake. In 2014, we had growth in the U.S. and Spain with just a little bit of growth in Italy and France, Milena will go into more detail specific to each business. We are growing, but the combined ratio is improving and particular we are producing good and more stable loss ratios now with the businesses have some maturity. There is no magic about two years in a row where the loss number is almost the same, we invest prudently in all of our businesses, but we believe that larger investments will lead even better future results, then you might see us invest more aggressively. However, we can also be very patient and reduce investment if it appears with the investment will be inefficient. In price comparison not only have we quadrupled the number of quotes from roughly offered in the [indiscernible] in a few short years, but we’ve turned a loss of nearly £3 million into a profit of nearly £3 million. Elena will talk more about the success of these two very exiting businesses. Now, I would like to turn it over Stuart and David.
Geraint Jones: Two final slides for me one capital and one dividend, so nothing important. First up capital, as the headline here suggest, our capital position is strong as we transition between solvency regimes. The chart on the top shows our usual measures at year end. You noted capital on the left on an accounting basis along with the total regulatory requirement and solvency one or insurance group’s directive that measures at that point. Now it should hopefully go without saying the IGD coverage is very substantial and was of course further enhanced by our bond issue in 2014. In 2015, the group’s capital requirement will be set by the PRA under the ICAS regime. And consistent with the position of half year we currently hold a surplus above that requirement which is on economic rather than accounting basis and around 300 million pounds after deducting the final dividend. And I guess consistent with our message at half year we believe it’s appropriate to maintain a strong capital position as we move into solvency two. As this slides say we don’t get half full certainty over the group’s capital requirement form 2016, they are based on what we know today, we’ll be surprised if there was a material adverse change in requirement to compare to ICAS. We’re lucky to get certainly in the coming months and unit that point we’ll continue to hold the sole surplus we have today. What’s that mean to dividends, well firstly to reiterate there has been no change in our philosophy as regards to dividends. We still believe it’s for our shareholders to decide what to do with surplus funds and so we’ll payout what we don’t need to keep in the group for solvency opportunities for growth and contingencies. Our final 2014 dividend therefore being calculated on the basis of dividends which should normally move in with earnings and less something material changes in capital or capital requirements or our growth aspirations. The full year payout ratio for 2014 therefore same as the 2013, 95% and finally what happens if the solvency two capital requirement is similar to ICAS and the group has a material amount of surplus in January 2016? Well, that will be a nice problem we have of course. We’d communicate our intentions as regards to the ongoing capital position if and when that happens, but now with regulatory requirements at that point is only aspect you have to also consider the capital used for growing our operations and the margins for contingencies. And finally for me very recently earnings and dividends for 2010, 13 and 14, for 2014 you see full year dividend is 98.4 pence which is slightly down in 2013 but is up over 40% compared to 2010. EPS for 2014 at 103 pence also up over 40% compared to 2010. If you have shares, the payment date is 29th of May and if you don't have any the next dividend date is 7 of May. That’s a lot for now from us and we’ll hand over to David and Stuart to talk more about UK.
Stuart Morgan: Good morning, it’s Stuart Morgan, long-serving former Head of Claims, last couple of years Head of Service in the business with claim oversight and that’s why I’m here to talk about today to talk about what’s happening in the UK claims market. Well you can see this after couple of or many years of consultations with the industry and two years after the introduction of [indiscernible] small volumes reclaim frequency is pretty much back where it started. There would have been a hope -- have been some hoping April 2013 when we started a large full but that looks artificial now, seeing as it did come after quite a bit spike and then immediately part of the reform coming in. What is very true that there remains very strong appetite in the market for claimants to claim for bodily injury when it’d been a road accident and also the lawyers to act for those claims because there is still good money to be made. However, little bit more discuss on cost, there has been a redistribution of cost in fact and claimants, the people who were injured they seem to be getting a little bit more money largely on the back of 10% increase in the damage they had as result of Simmons V Castle case. But lawyers are doing a little bit less well and they have offset that by cutting their overheads in their business and finding new income streams so it does still remain a profitable business. What also remains true is that you can do well as a claim department if you have good motivated staff longstanding members of staff who have a stake in the business a bit like us and if they’re using good MI and IT that makes it better still. And what about general claims inflation -- claims frequency, well after years decline possibly brought about by lower economic activity and high [heal] cost the trend does seem to have reserved and that might be expected given the turnaround in both those indications. Well the 22 years I’ve been with Admiral and frankly there has been something going on in the market every year some reform and we’ve been still quite a lot recently but possibly quite a time to come, would you agree there, and some in the industry point new Medco rules as being very significant in terms of frequency and reduction in cost but I am afraid at the moment I don’t share that optimism it is however election year and given the stubbiness of bodily injury frequency a review of those reforms is expected. Same as the last time I was here the effective handling of large BI trends remains of overwriting importance to us. On the positive side on cost the banning of conditional fees should have a positive impact as claim settle. Remember that lawyers were able to charge an uplift of up to 100% on their base cost which on their own was sometimes in 100s of thousands of pounds, but general damages continue to inflate I'm afraid and just and that's for well recognized reasons which we've put up on the slide there. One of them is for medical equipment reasons it's worth mentioning that in the last few weeks we had our first ever claim for the provision of an exoskeleton. And final slide for me. Staff and customers are the most important people we have and happily both seem to be very content with us. Feedback scores remain very buoyant. This is despite us using the quieter times to improve our administration efficiency in the business. This in turn has contributed to our attention on the low expense ratio and maintenance of the GAAP we enjoyed over the rest of the market. That's all for me to serve, David.
David Stevens: Thank you, Stuart. I'm going to talk a bit about the UK car insurance market as a whole and then a bit more about our claims ratio. What you see here is the ABI motor insurance premium tracker which is an index that includes both the new business and renewals as it looks at the premiums. The dark blue is the year-on-year change and the light blue is the cumulative change since the beginning of 2012. And what you see on this exhibit is two interesting things, you see the impact of the longest sustained period of premium deflation -- I think it’s never happened in the UK car insurance market, culminating in almost 15% reduction in cumulative premiums from the beginning of 2012 to quarter three, 2014. But what you see more optimistically, more encouragingly is also evidence of return, so you see on the dark blue the first year-on-year increase shown in quarter four 2014 and therefore some reversal of a long period of premium deflation beginning to emerge. Now we ourselves felt that the length of that premium deflation period and the re-emergence of claims inflation as Stuart talked about meant it was appropriate start increasing our prices earlier in 2014 so from quarter two 2014 we began to increase our prices on new business and during the course of the balance of the year we increased them by roughly 10%. Now you can see from this exhibit which is showing in percentage times, we are top on price comparison sites indexed at a 100 for quarter one that in doing that we were moving earlier than the market as a whole and that manifested itself in a reduction in our share of percentage times top and actually therefore a reduction in our share of the new business market. In the UK particularly marked in Q2 to Q3 but effectively going through each of the three quarters of 2014. That reduction in share was particularly marked in the younger driver segments where we saw a number of our competitors reentering that segment or emphasizing it more than they had historically, so as an example of that the share of our new business that came from the under 21s fell 5% in 2013 and 17% in 2014. Percentage points they can get a bit confusing and so what I mean by that is if we started at 2014 hypothetically with 10% of our share under 21, we would have finished it at 8.3. Now we did lose share of new business but our volume of vehicles on cover was pretty flat, even slightly increased. And that was because of very positive retention impact -- retention outcome during 2014. That was partly market-wide phenomenon during the course of 2014 everyone's enjoyed unusually high levels of retention but the data we have available to us suggest that our improvement was somewhat stronger than the market more of our customers made it to renewal and more of those renewed following a number of operational improvements. Now what about the loss ratio? First point I'd like to make is a very positive back year development a number of you be familiar with this exhibit but for those who aren’t just to remind you what we're looking at here the red line is the market accidental year loss ratio as at the end of December 2013 because that's the latest data available, with all the reserve releases allocated back to the year to which they applied. The blue line is our projected ultimate loss ratio for each calendar year, each accident year. And what you see in the brackets is the movement from the mid-year to the end of December 2014 and the back years in that period as seen '10, '11 and '12 for reducing by a point to 2 points and '13 reducing very encouraging 4 points during the course of the last six months. However 2014 is very earlier projections on 2014 are less positive and here is a breakdown of the evolution of 2013 into 2014 where you’re seeing the first cut projection of ultimate for the ascent year 2014 coming in at 82%. That's made up of three drivers, the first driver is the reduction in the average premium earned which accounts for about 10% of the movement and is a combination of the impact of price reductions by ourselves in 2013 and early '14, the change in mix of new business and the increased portion of our business that is renewal. Now if you have a change in mix in your business like that, you'd expect to see a feed through and better frequency and indeed we have. So, the frequency impact is of the order of 2% equivalent to minus 2.5% frequency in contrast to the market which was roughly plus 2.5% to 3% in 2014. So, roughly a 5 point gap versus the market. And the blue final element is the average claims inflation which accounts for 6% of the movement which equates to an average claim inflation of 8%. That's a higher number that you’re going to anticipate in a normal year and it's a significantly higher number if you'd anticipate in the context of a shift in mix towards more standard business. It is in this case attributable to a higher frequency of larger bodily injury claims than we would normally anticipate in the first year of an accident year. What I would say is that, large bodily injury makes the projection of ultimate loss ratios at this earlier stage is particularly difficult thing and it creates a particularly wide range of possible outcomes and we have in the past seen years where the initial pick has been very difficult to make because of large bodily injury frequency and then we've enjoyed significant subsequent reductions in projected Ultimates on those years. No guarantee that, that will happen but I'd be disappointed given the business mix if we did see some improvements on the average claim numbers we go forward. The outlook for the businesses hold in 2015, well as we saw from the first page with ABI index we're seeing an end to the period of price reductions and some emergence of price increases. We anticipate there will be continued price increase during the course of 2015 that's certainly our own expectation even the pressure from claims inflation and given the fact that in the sense the market has potentially over shot in its premium reductions. Hard to make a call whether it crumps along the bottom for a while before correcting more violently or whether it corrects more rationally by moving into a period of premium inflation above the sort of 3%, 4%, 5% that you need just to stay flat in terms of profitability. Meanwhile us to success of the back years in terms of that positive evolution has allow as Geraint mentioned us to make very substantial reserve releases in 2014, while not compromising our buffer. So what we can say about 2015, in the absence of any unexpected claim shock, we would anticipate that 2015 should be not a year with substantial reserve releases. So that's the UK, I'm going to hand over to Milena and Elena who will talk about international.
Milena Mondini: Thank you, David. Good morning everybody. It's always a pleasure to be here but particularly today because we're going to speak to you about quite exciting times in international expansion of Admiral Group. As you can see in this slide, we're now operating in four countries with five brands the oldest one being launched in Spain in 2006, Balumba and the youngest one being also launched in Spain last year Qualitas Auto. Before we speak about performance I think it's worth remember that although international expansion is a minority of Admiral Group still those four country together Italy, France, Spain and U.S. reach a size of more than £150 billion that is 10 times UK. So how was 2014, all in all we're very pleased with the results. We've seen improvement in the top line and the bottom line and profit in one of our subsidiary in Italy. As you can see in the bottom of the page, the business grew and I'd add at every single its first launch and it grew by 10% in turnover and this figure would have been 20% if local currency exchange rate stay the same. And it grew also 15% in number of vehicles that now reached 600,000 and triple since 2010. So more in detail in the following slide, you can see the split by business of turnover on the left part of the slide where you can see that the biggest contributor was ConTe, blue on the top. Although Elephant is catching up really fast and just please note that the figures are in two different currency euro and dollar. Followed by Admiral Seguros and lastly L'olivier. On the right side of the slide we can split the vehicles under cover by business. We can appreciate that the number of vehicles under cover grew in every single country, although at different pace. You can also see that the increase in vehicles number was partially offset by decrease in average premium in some countries that is quite evident in Italy and Spain. So year after year we’re conquering our share in the group, we are now finally 10% in turnover in respect of the total of the group and 15% in vehicle undercover. Let's just keep in mind that this was less than 5% in 2010 and 0% in 2006. So the different businesses are at very different stage of maturity and while we’re still significantly investing in the growth of some of those we’re also seeing improvement in the bottom-line recurring from the more mature ones. As Henry and David already pointed out, the growth was coupled with reduction in the total loss by couple of millions to £20 million overall in 2014 also thanks to the release of the Italian business. So all-in-all more premium better performance and overall contain investment that was 4% of total group profit since the beginning of this venture until now and more specifically 6% in 2014. Now 6%, 4% is not the magic numbers, not the threshold, not a target, not an input, but rather an output of our approach in international expansion that has always been centered around sustainable organic growth. However, it doesn’t mean that if an attractive opportunity arises we won’t decide to invest more. Let's see now the key highlights of each business, starting with all this one Admiral Seguros. Our Spanish business was able to grow substantially by 20%, a one of main driver of the success has been the advertising campaign of our new brand Qualitas Auto endorse by very charming Pierce Brosnan as testimonial. And the Spanish team was able to achieve this growth in the very challenging market where competition was extremely fierce. Likely there are some promising signs that may trigger more shopping in 2015 and beyond, car sales increased by 20% year-on-year, combined ratio is finally getting closer to 100%, it was 97% in the last year for consumption is increasing and in addition we may expect the implementation of new [Baremo] that we lead again the price increase. Worth to mention also that the -- in Spain we sold our first motorbike policy before year-end, so now we underwrite and sell motorbikes insurance both in Italy and in Spain. Main problems of 2014 has been the growth and you may have guess by now what the main focus of 2015 is going to be as Henry stated in -- Henry mentioned in his statement, we have ambition to breakeven on riding base this year in Spain. Unusually Henry put his money -- his money where his mouth is. So moving to France, our youngest and smallest operations and also slightly different because since the beginning we used a different approach and we leverage heavily on localize sources. So in the first year, we explore the market, we learned about the consumer, about pricing, we gain confidence that France is another interesting opportunity for Admiral. So we decide to focus more on sourcing and setting up new system, new processes and a strong team. There is more work to be done, we’re still at very early stage, but we are now in a much better position to take advantage of a market that is changing and is changing for the better, thanks to development of price comparison site and thanks to favorable regulation. You may remember that last year we were anxiously expecting Loi Hamon. The Governor meant to renew the law that we simply dramatically the processes of switching car insurance and therefore will favor new entrance and our growth. The Governor meant let us wait a while until the very end of the year but 31st of December the law was finally approved and that’s very positive sign for the future. From secular tree to secular animal, Elephant operates in the biggest market in the world, 200 million vehicles and this big expansion opportunity we’re now operating in four states, Virginia, Maryland, Texas and Illinois and those states together reach a size that equals France and Italy 34 million. So we have plenty of expansion opportunity in those states and also beyond. Also important to remember that direct channel is growing at cost base that is more or less 25% of the market, but new business is roughly 40% and even more important finally thanks to compare now proper price comparison site are becoming reality also in the U.S. So Elephant while accomplishing very important infrastructure improvements during the year also achieved an impressive growth of 70% in dollar turnover. Quite different market situation in Italy, I would say much more similar to Spain with the shrinking market and price reduction after 10% on price comparison sites and 6% on the growth, very aggressive promotion and advertising particularly from traditional players. Why is that? Reason is very, very simple, 2013 recorded an unforeseen 88% of combined ratio with high margin, so not unsurprisingly our competitor a lot of additional profit in chasing growth and therefore it makes more expensive for us to grow so we have been patient and we’re consciously decided to keep the policy base almost stable and to focus on the profitability of the business while at the same time continuing investment in antifraud and rising pricing in claims and we did this quite successfully because for the first time we are reporting profit in Italy. Beyond the meaning that this success had for the Italian team, I think this was a very good example of how we can transfer Admiral’s skill abroad and in particular a big focus on being low cost, focus on pricing, very featured and positive claims handing and a good mastering of leverage of the switch distribution channel. So Italian market is quite similar to UK in the sense that there is quite violently cyclical, we grew a lot while the prices were increasing we stabilized and reduced the growth while the markets stabilized and now we have a very strong platform and we have a strong foundation to push the foot and paddle and grow faster when the market will be more favorable. We’ve made profits in 2014 on back of reserve releases as Henry mentioned before but we’ll also push the same conservative approach in reserving going forward in the feature as in the UK. And as Henry mentioned, we have achieved a lot of improvement also in the underwriting business and improvements in the combined ratio. So in summary to conclude year after year we are again more and more confident that we are in the right trajectory to create a lot of other Admiral little success stories of growth and thinking about U.S. I am not even sure little in an appropriate word. As you can see from the graph we are now operating in a market that is huge and we only had 0.1% market share so the trajectory is very easy the goal is easy, we have 99.9% to go forward. And now Elena will tell us more about the other side of the business our main source of sales price comparison sites.
Elena Betes: Good morning everybody and I am Elena, not Melina, not to be confused, difficult I know. I joined the Group 7 years ago to launch the first price comparison of growth, it was Spain, rastreator.com. Nowadays I still run it and I supervise our price comparison in France, run by the [indiscernible] Equity CEO. I was here in front of you five year ago, I will remember some faces, you probably not and I am really proud to be back because it wasn’t clear at that moment in time that I was going to be back. But today we have 4, 5 comparison and 3 of them are profitable. Before we move into the objective of these presentations let’s get in a little bit deeper now and let me show you the aggregate numbers, 2014 we have a slight reduction on revenue line mainly because of Confused results. I think its worth to point out that international operation generated 25% of this revenue line already, 27 million. That’s even more important that only four years ago on 2010 it was less than 4 million. We move through profit before taxes, here we have a big drop we were on 21 million last year; we’re on 4 million this year. That is a drops on propose. We’re investing heavily as we see in compare.com our rebranded operation in U.S. with 50 million. Let’s move to get little bit on the sales on them with all this, our initial operations confused.com. Confused.com has last year during 2014, as David was explaining the premiums have been falling potential has improved to every single player. The aggregate of market has been quite stable and with limited growth. In this environment the media invested by the four main players have remained stable. And that we were affected by change from the Google algorithm on February 2015, which reduced our free traffic and before our results all in all this means for us a reduced turn around 8% compared with 2013 and reduced on profit before taxes of 27%. We are fighting back that’s not the end of the game in a lot of angles, but let me bring your attention to other type. We are fighting back on the brand with [Bryan]. I think it’s a really great tool to fight back. We launched it recently and it has been a huge impact in brand awareness, we have moved from 72% to 82% and we’re convinced that this could help us to recall our position. We move to the European expansion, we are quite happy this has been a success story of growth and profitability. We launched 2009 [indiscernible] we broken even 2011, we launched 2010 the lines and we broke even in 2013. We are quite happy with our growth and we mentioned growth in terms of quotes those are not just like quote those are overall quotes and we grow 22% last year and we’re growing at profitable way like we grow our profit 52% from last year. Let me point out back a little bit of details on the Loi Harmon, because it is important to understand that although it's not going to be a revolutionary, it will have an impact and it will have a positive impact on our businesses. It's not that the people can cancel any time after 12 months, but it's to the simplicity of this cancelation process. We have moved from a country that they need to have a certified letter with two month’s notice to a country that they just have to one month notice and it's the new issue that has to cancel that policy. We are moving through the most complicated country to cancel to the easiest in Europe. And we think this will have an important impact in our businesses. If you will ask me, okay buy how are you doing against competitor of this market, is there competition there? Yes there is competition, but we are leading and there is no ranking, it's difficult to get market shares, but what we have done we have took Google plus searches and based it here from the beginning of our history. The blue line is ours as you see both countries are leading in their markets. There are normally previous competitors like lines discussed in green and red that it tends to disappear because they are mainly based on free traffic and they are not able to change their model. And then there are kind of people that try to enter and dependent on their pockets, they will remain or they will die. We just acquired as we agreed to acquire at the end of the year one of them in the Spain Seguros.es we thought it was a generic name and it could help us in the future. We won 2014 award of on Rastreator for the best website and most popular in terms of comparison. I have to say we won last year too, but I wasn’t here to show off. If I think about one of these pillars for next year, we have three main ones. We want to be the preferred brand, it's not about just being known, we are highly known, admissibly known in our countries 91% in Spain, 73 -- 75 in LeLynx but we want to be preferred and this is one of the assets. Second one product development, we have not just invested in car insurance and other insurance we are investing in other verticals and we will lead them in this market because our investment in brand and our brand allowance. And this will increase help the frequency of our web use. And third one, don’t forget we are broadly in digital world. There are players that gather more data of all the customer and hundreds of questions and using it correctly will guide our future. Let's move to our [Brayan] operation and U.S. compare.com let's start with the rebrand. I will correct rebrand for rename, we haven’t changed look and feel, we haven’t changed value, we haven’t changed communication it's all the same, but we found out that the people were having struggle to remember the now. And they were kind of typing compare.com that it was available there was an opportunity, would just take it. If we go to the market you have to understand that U.S. there was no EOP and price comparison, EOP means that you enter your data, you get to a price, a great price and you are able to buy it. We are kind of building this new model, we do expect competitors of course but I think its huge market that it will even help us. If I go a little beyond on operations to give you kind of the feeling or insight, there are two sides of it. One the product side, at the beginning when you build this operations it is key to have a panel. We nowadays have 40 insurers signed, 27 on the panel and you will say why such a difference? It is really difficult to integrate insurers in U.S. because of state's complexity. Then you’ll normally something that will take us in Europe one month to three months, could take eight months there. It's difficult but it's the entry barrier too. The rate returns, like the average rate returns has been growing every month 12%. If we move to the other side to the demand side are we able to drive demand at a reasonable cost, we are proud to say that we are paying half of the cost that we were paying at the beginning of the year. It's that I know those are just insights -- more operational insights, but it give you the feeling that it's moving on the right direction. We are as previously announced, we keep committed with this investment and this year we'll represent 20 million to 30 million. We are happy and with the adoption as it looks promising. If anticipating one of your questions on these results, what are you doing, where are we going now, still nothing to be announced. We are open to look analysis around the country, say that we are seeing but there is still no decisions made. That's from my side. Henry, back to you.
Henry Engelhardt: Thank you Milena and Elena. Just to summarize, we are investing in different markets. They all have great potential, but they all are different with different competitive landscapes and different timetables to success. UK car insurance profits clearly going to be more cyclically influenced than before. Good news ConTe made its first profit and I fully expect Admiral Seguros to reach breakeven on a written basis in 2015. Market leading and profitable and growing brands for price comparison in Spain and France it's a very competitive UK market and we’re doing what we can to ensure the future success of Confused and a big opportunity for price comparison in the U.S. Longer term I believe there will be greater balance as the non-UK entities grow up, household insurance we haven't spoken about this is growing rather nicely and those will balanced against the big core product of UK car insurance and there are further international growth opportunities which we're examining at the moment. As I mentioned that the outside of this presentation, this is the first time since we went public over 10 years ago in fact the first time in the century that we've not announced record profits. Like the hot and cold of Baked Alaska I'm both sad to see this record go but happy too, happy that the group is willing to invest in the future even to the detriment of short-term profits. One of the key drivers of Admiral's success is the company culture. As you can see we win a lot of awards for culture and being a great place to work everywhere we go. We have a simple philosophy that people like what they do, they'll do it better so we got lot of our way to make Admiral a great place to work. And we also wanted our staff to feel like owners, so we give staff part of the company to own and all staff will split up over £20 million worth of shares for the 2014 year. Here again are the key points from our 2014 results and I want to thank you for your attention here this morning. David will now join me upfront, please feel free to ask questions of anybody on the panel and we'd like now to open it up for questions but before we do just to note, we actually are going to be kicked out of the room before too long so we're going to limit this to two questions at a go. Okay? Two, great.
Q - Greig Paterson: Hello, Greig Paterson, KBW. Two questions. One is Google. There was a rumor, I don't know if you've announced the Google deal or it's in the pipeline or whatever, maybe I'm on top of things. I wonder if you could talk about that in the US. And the second thing is I noticed your wording was very careful on young drivers. You said if we started with a 10% shift two years ago it would have gone down to 8.1%. Could you just tell us what percentage of the under 21 year olds are currently your share? Is it 8.1% or is a different number?
Geraint Jones: On the Google side I'm afraid I can't comment on that, not allowed to and on the [indiscernible] is it a hypothetical way of explaining the math in case people of sort of misinterpreted the use of percentage and percentage points stuff like that we don't break this number out.
Greig Paterson: All right. So you're not disclosing them. Cool. Just the -- I remember a while back you said you'll give each international business five years and then close it down or sell it, whatever. And the Spanish one you've set them a target to break even. If they don't break even will you dispose or close that business down? 
Henry Engelhardt: No, I mean we said 6 to 10, Spain reaches its 9th birthday on Halloween, it depends on why they don't break even to determine what we do, I mean one very good reason why they might not breakeven is, there is an opportunity for growth and growth takes the front of the cost at the front end and so we would not breakeven but we would grow a lot faster than we have been. So that would be a good tradeoff. So, we'll see but personally I do fully expect them to be breakeven.
Nick Johnson: Good morning, Nick Johnson from Numis. Just wondering if you tell us what the books loss ratio is for 2014 I think it normally give that out at this stage but it seems to be missing from slide 58 in the appendix. If you can't give a number then perhaps you'd just comment on the level of caution in the reserve buffer for 2014 as there any change in your normal approach? Thanks.
Henry Engelhardt: The profit ratio for 2014 is in the notes to the accounts to 92%. I think it's in note 5. The caution in the overall level of reserves is as big as that’s ever been. So despite the big release we've not let in to the caution in the reserves. 
Marcus Rivaldi : Thank you, Marcus Rivaldi, Morgan Stanley. My question is just really focusing on that ultimate loss ratio walk you gave, David. Could you just talk about -- is that going to resetting now higher for this year and/or is there any one offs in there that would suggest that it may move hopefully down faster than it's going up and this year? And then secondly obviously some action in M&A around the international businesses of maybe -- that one and your ABS structure again, is that broken out, at what profitability you're making from your ABSs and where would I find that in the P&L? Thank you. 
Henry Engelhardt: On the protections to be ultimate and complicated question to answer because one element of the answer is, what is likely to be the movement in 2015 versus '14? And one element to the answer is what actually is '14 from which the movement occurs. And both of those is much off the grass. All I would say is that the impact of our premium increases over the course of the second half or the last three quarters of 2014 really having the chance to see through into the average earned premium number and so we would anticipate that ’15 will do better than ’14 on that maybe just significantly better, frequency in average claims inflation we don’t really tend to speculate on.
Geraint Jones: On the ABS the profit from those businesses appears in the attractively titled net other income loan, we don’t break it out, it appears in the £67 a vehicle. In the group context it's very small.
Marcus Rivaldi: Was there any -- I mean the large BI impact in that number, so I just come out and view at it -- what was the impact of that places spike or abnormal large beyond?
Henry Engelhardt: I don’t -- we really break that down, obviously the evolution of the ultimate loss ratio will very much depend on whether that unusual patent is a one-off or is rapidly going forward. So that remains to be seen.
James Schuk: James Shuck from UBS. I just want to circle back on the claims inflation trends because the picture you're painting is one of the small bodily injury claims inflation returning and a high level of BI claims in the year. There is very different data emanating from the ABI that was indicating that claims inflation, particularly bodily injury claims inflation, fell quite significantly over the course of 2014. So, I was wondering if you could help us square those two things, if possible. And then, secondly, one of your peers the other day kind of referred to one player in particular being quite aggressive on pricing in Q1. Could you just comment on what's happened to pricing in Q1 and whether you're seeing the same thing in terms of one large player?
Henry Engelhardt: On the ABI data, I think the data you refer to is the value of settlements and that’s very backward looking measure in the sense that the average time it takes to close that will probably few claims about 12 months, but the average at that time waited by value was about three years. So, when you're seeing numbers in 2014 which are lower than ’13 in terms of settlements it's actually tell you something about what’s happening to three or four years ago. It's not tell you something about what’s happening now in the underlying profitability, what’s happening now, that related to one question because I can never remember what was the second again?
James Schuk: Who is the large player being very competitive in Q1?
Henry Engelhardt: Well to be honest, I mean, we have sought to continue to move our prices forward, we are and I think we will describe the way the market is behaving in the first two months as bumping along the bottom but certainly no cutting. Having said that, there are individual players that are moving their share, some people being less aggressive and some people being more aggressive, but that’s always the case and there is by quarter almost.
Alan Devlin: Hello, Alan Devlin from Barclays, I have couple of questions. Just on the reserve releases, given -- what’s driving the record reserve releases, given your comments on claims inflation and you’ve still got very happy reserves it's little bit more cautious six months ago and when you talk about the reserve, we just couldn’t last forever given the pricing? And then second question Travelers said earlier in the week about yes, clear frequency would decline by a third over the next first years and what kind of implications will that have for the business model and presumably it means reserve releases last for longer, but you may have a soft cycle for longer and expenses become more important part of the equation? Thanks.
Henry Engelhardt: Geraint you take the reserve releases and I’ll do the frequency.
Geraint Jones: So on reserve releases to start with, our releases are a factor of our cautious approach to reserves, so we set our reserves initially well above the predictable clear outcome and it claim developer as we expect them to do ,than you expect that margin to be released into the P&L overtime. If the back years develop better than we expect, then we’d expect them all to be released over time as that projectile increases and what we saw during 2014 is some very good development in couple of back years David pointed out 2011, ’12, ’13 in particular unless we haven’t taken full credit for those improvements we were able to make a bigger release without decrementing the size of the conservatism in the reserves and we’d expect that to be feature in the future.
Henry Engelhardt: On frequency there is a sort of structural long-term tentative of frequency to fall driven by two things mainly by technology where car are getting better in terms of avoiding accidents partly by more penetration of multicar outsource so that in sense each car tend to be getting used less. So although we pointed out that a period of playing frequency decreases come to an end, we do see that as a temporary feature driven by the economic cycle and petrol prices. And we would expect to revert towards a gradual reduction in frequency overtime. What we’ve also seen and this is going back over a long, long period because of the dominant now of the larger bodily injury cases the frequency impact and the severity impact accounts availing. So that the average claim cost more and more and that’s lot of our technology again in the widest definition of the term more and more of motorist when they are involved in an accident happily survive but that’s very, very expensive. An exoskeleton, Stuart mentioned it, that doesn't come cheap, so you're getting fewer claims, but hey cost more.
Ravi Tanna: Thank you. It’s Ravi Tanna, Goldman Sachs and just couple of questions please, and the first one was around your book loss ratios and you’ve mentioned that you’ve changed your approach or conservatism there. In the past few years back you did decide to reduce that and then you’ve increased as related to larger BI claim and I just wondering under what circumstances might you think to go back to reduce in that conservatism and then obviously one of your peers has mentioned doing such? And then second question was just about there's some press articles suggesting vehicle repair costs and garages across the UK all facing difficulty and diminishing in number and are you observing this and does this impact your per vehicle a toll in anyway?
Geraint Jones: Stuart you want to take the garages? On the garages front I would say that we haven’t noticed that issue but that’s something that’s been around in the industry for a long time, that’s all I way.
Stuart Morgan: And on the conservatism in the reserves, I don’t foresee any change in our philosophy with regards to reserves, so we’re cautious a preserver, besides that the margin that we hold our best estimate is driven by conditions at the point in time what we see in the market and what in our own data and that could largely BI could be very big improvements on back year loss ratio and there are obviously range of other factors that could drive it up and it’s at the high end where we normally expect to see it which sort of implies on a long-term average that would be lower than it currently is. What would drive us to reduce it would be less movement on back the loss ratio so less significant move back year and less and more normal large BI experience those sorts of things, but we judge it based on what we see at point in time.
Unidentified Analyst: [indiscernible] Two questions, you looks as though you got a turn on economic capital coverage ratio about 1.7 to just over 1.7 times I think, if you using that 300 million, if that swings through into solvency 2, that’s going to be substantially more than anyone else, I wondered what you could say under what circumstances you’d be prepared to hold the dividend even if earnings were falling in the short term and you’re investing more in compare now or you continue with this 95% pair? That was first question. And second question on the overseas, while you are excited about it, what I observed from the market is the market is capitalizing you growing losses into the share price at a great multiple, which is not a good situation to be in, could you give us some ideas how you might provide the market with some sense that these are actually developing positive value and could you talk a little bit about the volume you’re giving about in additional investment?
Geraint Jones: On the economic capital coverage, we don’t disclose the coverage ratio given the surplus.
Unidentified Analyst: As you calculate it?
Geraint Jones: Well, you can estimate it can’t calculate it by the book. I think in the future in terms of dividends I would reiterate what we said earlier. Our policy is to distribute surplus capital that we don’t need and surplus is defined us what we don’t above readily free capital, capital need for growth and margins for contingencies. So when we got clarity over the solvency 2 regulatory capital requirement we’ll be in a position to make the call on what the dividend is that point.
Stuart Morgan: On the overseas I think we’ve been somewhat clear here today on what happening in each individual business and the development of older business which has been very positive. We will continue to invest. Elena was very clear on the investment that we’ve planned for compare.com but we will invest in our other businesses. They all need to grow overtime to reach sufficient scale so that will take investment and particularly the younger businesses Elephant in the U.S. and in L'olivier in France they will take substantial investment overtime to grow their policy count.
Unidentified Analyst: Where you hinted about investment was that in one lease businesses or are thinking about another venture?
Stuart Morgan: There are also potential for newer opportunities out there that look attractive and they would take investment as well, but we’ve got nothing specific for 2014, ’15, ’16.
Unidentified Analyst: I just wanted to ask you about the investment you’ve made in IT in your UK business the first part of the question is what your new one off cost in 2014 that might fall out over the future? And the second part is would be it -- is there potential to actually reduced the underlying cost base on the back of this investment or should kind of continue chug along? Thank you.
Stuart Morgan: On the IT investment we made in 2014 actually says on balanced so it’s in capital, it will start its amortization in 2015 when we start using it hopefully in 2015 when we start using, and with the one-off in 2014 expenses with the material we’ll have material impact on the expenses of expense ratio given the rate of 10 year probably not.
Unidentified Analyst: What about the benefits of having implemented in IT?
Stuart Morgan: Well having a new IT system is wellbeing benefited in terms of wide numbers of areas. We’re always looking at opportunities to make sure where we spent money wisely and I think they’re going to be creating improvement in expense ratios as well as IT system or probably not. Any other questions?
Unidentified Analyst: Just a follow up quickly if I may, just on Italy, should we expect profits to continue from here on. So obviously it was a very strong year for the market-wide and you scraped a profit in 2014 on the back of reserve releases. Should we expect the same going into '15, has this now turned the corner? Thank you.
Elena Betes: As we mentioned before we are improving also the underlying business and we look at continuing to improving the business and we foresee possible additional reserve release in the future, because we are adopting an approach to reserving that is very similar to UK. Said that I also mentioned that the market is very challenging and is also quite cyclical and I would say volatile, so it's very hard to predict, but in general terms I would say that we're seeing improvement and consistent reserve release approach. So I think it's likely a possibility that we'll foresee profit in the future unless the market changes significantly.